Operator: Good afternoon, everyone, and welcome to Grupo Bimbo's Fourth Quarter and Full Year 2025 Results Conference Call. If you need a copy of the press release issued earlier today, it is available on the company's website at grupobimbo.com. Before we begin, I would like to remind you that this call is being recorded and that the information discussed today may include forward-looking statements regarding the company's financial and operating performance. All projections are subject to risks and uncertainties, and actual results may differ materially. Please refer to the detailed note in the company's press release regarding forward-looking statements. I will now turn the call over to Mr. Alejandro Rodriguez, Chief Executive Officer of Grupo Bimbo. Please go ahead, sir.
Alejandro Rodríguez Bas: Good afternoon, everyone, and thank you for joining us today. Connected on the line today are CFO, Diego Gaxiola; BBU President, Greg Koehrsen, along with several members of our finance team. I'm very excited and deeply honored by the opportunity and the trust placed to lead this extraordinary company as CEO. I would like to extend my sincere gratitude to Rafael Pamias for his leadership and dedication to Grupo Bimbo. Under his guidance, the company strengthened its strategic positioning and operational discipline, always driven by a long-term vision. My commitment is to build on this trajectory and continue positioning Grupo Bimbo as a beloved company in households around the world by driving growth through our powerful brands and expanding our global presence. Together with the leadership team, we will maintain a constant focus on our associates, customers and consumers while preserving and strengthening our culture and philosophy of building a sustainable, highly productive and deeply humane company. Before we move forward, I would like to recognize the recent retirement of Tony Gavin and Mark Bendix in the near future. Tony served as President of Bimbo Bakeries U.S.A, completing an extraordinary 42-year career with the group. And Mark will be concluding more than 12 years in the company, serving most recently as Executive Vice President of Grupo Bimbo. We're deeply grateful for their leadership, commitment and lasting contributions to Grupo Bimbo. As part of a planned leadership transition, Greg Koehrsen was appointed President of Bimbo Bakeries U.S.A and joined our Steering Committee in January 2026. Greg brings more than a decade of leadership experience with Grupo Bimbo. He has held several senior positions across the organization, most recently leading BBU's transformation journey. We're pleased to have Greg leading the continued evolution of BBU. He will join us on all future conference calls and will be available to address questions regarding the North America business. Now turning into the year in 2025. We proudly celebrate our 8th year anniversary. Over these 8 decades, we have grown from a small bakery in Mexico into the world's largest baking company and a relevant player in snacks with a global footprint and deeply humane culture that continues to define who we are. As part of this milestone, we inaugurated MiBIMBO in Mexico City, an interactive museum that honors our journey and brings our story closer to the community. We warmly invite everyone to visit. Celebrating our history also reinforces our commitment to innovation, long-term value creation and to nourishing a better world over the next 80 years. In 2025, we advanced these commitments through discipline and execution and deliberate actions. Despite the complex global environment marked by macroeconomic volatility, inflationary pressures and shifting consumer behaviors, our performance demonstrated underlying strength and resilience of our business model. We delivered record financial results and market share gains across multiple categories, supported by continued investment in our brands, expanded distribution and a robust innovation pipeline. We also achieved solid profitability gains driven by disciplined operational performance across regions, further supported by productivity gains in North America, where we're capturing the early benefits of the transformation initiatives launched in 2024 with notable efficiencies across manufacturing, administrative and logistics operations. As a result, we achieved margin expansion for the full year, all while continuing to execute with discipline [indiscernible] strategic bolt-on acquisitions in attractive high-growth markets, including Eastern Europe. These actions strengthened our global footprint, expanding our presence to 93 countries, enhanced our capabilities and improved our ability to serve evolving consumer needs. Building on this foundation, as consumption habits and occasions continue to diversify, innovation remains key to our strategy. Our innovation rate now exceeds 12%, reflecting our ability to translate consumer insights into differentiated offerings. By leveraging the strength of our trusted brands, together with the prior CapEx investments, operational excellence initiatives and recent acquisitions, we have reinforced our competitive position to further strengthen our market leadership. This integrated approach provides a strong platform for the long term, sustainable growth, supporting incremental volume gains, enhancing profitability and creating enduring value across our markets. On our ESG journey, 2025 marked a milestone year in advancing our commitments, aligned with our purpose of nourishing a better world through our Baked For You initiatives, 98% of our bread, buns and breakfast portfolio deliver positive nutrition. We remain on track to eliminate all artificial colors by 2026 and continue to strengthen our core portfolio with around 48% of sales meeting or exceeding the 3.5 star benchmark under The Health Star Rating System, demonstrating optimal nutritional quality in every bite. Our environmental agenda through our Bake for Nature initiatives have achieved 100% reuse of treated water versus our 2020 baseline, while exceeding our generic agriculture target with more than 500,000 hectares cultivated under these practices. We also reached 99% recyclable packaging. We continue to progress in renewable energy and fleet electrification with more than 40,000 electric vehicles. Looking ahead, we remain fully focused on advancing our medium- and long-term ESG ambitions. While challenges remain, celebrating Grupo Bimbo's 80th anniversary with record results and the ongoing commitment of our people highlights the strength of our operational model and culture with disciplined execution at the core of all our efforts. We are well positioned to continue delivering consistent performance, driving profitable growth, enhancing returns and creating sustainable value in 2026 and beyond. Now taking a look at the regional results of the fourth quarter. In Mexico, we delivered 4.8% sales growth, reaching an all-time high for a fourth quarter. This solid performance reflects our ability to grow despite a softer consumer environment, delivering positive results across all categories with particularly strong performance in sweet baked goods, cakes and buns and rolls. Results were also driven by favorable product mix and positive execution across all channels with convenience standing out positioning double-digit growth. This positive momentum accelerated towards the end of the quarter, including a record sales week in December, marking the strongest weekly performance in the region's history. This robust top line growth, combined with the distribution efficiencies, productivity gains and disciplined cost control resulted in an adjusted EBITDA margin expansion of 40 basis points to robust 22%, reflecting the strength and flexibility of our operational model. Looking ahead, we remain encouraged by the resilience of our portfolio and the strength of our commercial execution. Through initiatives focused on prioritizing volume performance and delivering an attractive value proposition across both price and product mix, supported by innovation, we expect to maintain positive momentum. In North America, excluding FX, fourth quarter sales declined by 3%, reflecting a still soft consumption environment. That said, our top line trends continue sequentially, supported by the actions taken throughout the year to strengthen revenue growth management, a more refined price pack architecture and bring differentiated innovation to market, all to enhance our value proposition to consumers. We are particularly encouraged by recent innovation launches that address evolving consumer needs, including Sara Lee half loafs designed to serve smaller households and more accessible price points and Thomas Protein bagels, which resonate with health-conscious consumers. Our actions in 2025 are reinforcing our confidence that we have and continue to improve a portfolio of attractive consumer-centric products that positions us well to drive sustainable growth. Our efforts have resulted in market share performance improvements across all branded categories with positive gains in buns and rolls, mainstream bread and salty snacks. On profitability, thanks to the record productivity benefits captured throughout our transformation initiatives, we delivered a strong 330 basis points EBITDA margin expansion to 9.2%. This performance demonstrates how our team's discipline and focus are translating into structural improvements, strengthening efficiency and competitiveness across the operation. Looking ahead, while external headwinds remain, the improving momentum across key categories, coupled with the operational strength built throughout the transformation initiatives position us well to continue progressing and to support a more balanced path toward growth and profitability over time. Moving on to Latin America. Excluding FX effect, net sales grew 15.4% to a record fourth quarter level, driven by positive momentum across every organization as a reflection of a strong focus on execution and effective price/mix strategy. Sales results also benefited from the acquisition of Wickbold completed in October 2025. Wickbold is a leading bakery player in Brazil that complements our brand portfolio and expands our presence in key categories, further strengthening our leadership position in the market. This acquisition offers meaningful synergy potential, including commercial opportunities and scale efficiencies that will enhance profitability over time. During the quarter, integration-related expenses led to a contraction of 420 basis points on the EBITDA margin. These investments are focused on capturing future synergies and strengthening the long-term value of the business, while additional integration costs are expected in the coming quarters. They are strategic in nature and aimed at unlocking efficiencies and commercial opportunities. As integration advances, we expect margins to progressively improve. Excluding integration expenses, adjusted EBITDA margin for Latin America contracted 180 basis points due to higher raw material costs in Brazil attributable to the FX impact as well as increased general expenses from strategic investments for future growth, mostly related to improvements in Chile's commercial operating model across the supply chain, including benefits from the transformation project in North America and past accretive acquisitions. In Europe, Asia and Africa, excluding FX effect, sales increased 17.8%, reaching an all-time high. This performance was primarily driven by the consistent strength of Bimbo QSR Romania, U.K. and India, which posted double-digit growth rates, coupled with the contribution from the acquisition completing during the year, including Karamolegos in Romania and London in the Balkans. The remarkable adjusted EBITDA margin expansion of 420 basis points resulted from the solid sales performance, productivity initiatives, lower administrative and restructuring expenses related to last year's bakery closure in Spain and the accretive contribution from the past acquisitions. This performance led to a record double-digit margin of 13.8%. With this, I would like now to turn over the call to Diego, who will walk you through our financials. Please, Diego, go ahead.
Diego Cuevas: Thank you, Alejandro. Good afternoon, everyone, and thank you for joining us today. 2025 demonstrated the value of our diversification, disciplined execution and long-term view. Despite the challenging operating environment, we not only met our guidance, achieving record levels of sales and adjusted EBITDA, but exceeded our profitability outlook, driven by a better-than-expected fourth quarter performance. As a result, adjusted EBITDA margin expanded by 30 basis points to 13.9%, the second highest annual margin in our history. Across our operations, performance was underpinned by notable strengths. Our EAA region substantially increased profitability, reaching a record double-digit margin. Significant contribution came from our operations in Mexico, posting sustained growth and an all-time high adjusted EBITDA margin of 20.4%. These achievements helped offset the softer consumption environment in North America and short-term headwinds that we face in LatAm. Furthermore, we continue to capture record productivity benefits from the transformation project in North America, driving a margin expansion of 60 basis points to 9% for the year, reinforcing our confidence in the path we have set. Alongside these efforts, enhanced revenue growth management capabilities, lower raw material costs and disciplined strategic investments also helped us surpass our original profitability outlook despite continued volatility in the global operating environment. From a capital allocation perspective, the $1.2 billion in CapEx that Alejandro mentioned for 2025 came below both prior year levels and our initial guidance of $1.3 billion to $1.4 billion. Although investments were lower than expected, our capital allocation priorities remain unchanged, centered on productivity, growth initiatives and long-term value creation. This same approach guided the acquisitions completed during the year, strengthening our platform in attractive markets and supporting long-term returns. In addition, we also distributed MXN 5.6 billion through dividends and share buybacks. Moving on to the balance sheet. Our total debt closed at MXN 154 billion. The increase compared to 2024 reflects the financing for CapEx and strategic investments, partially offset by the 11% appreciation of the Mexican Pesos. While we had originally anticipated a gradual deleveraging phase to start in 2026, our strong operating results, our focus on cash flow discipline allow us to start the beginning of this deleverage process in 2025 with our net debt to adjusted EBITDA ratio declining 0.2x as compared to 2024, closing at 2.7x. Also 3 weeks ago, we issued MXN 12 billion in Mexican bonds in 2 tranches, 4 and 9 years. It was a success. It attracted a remarkable demand of MXN 19 billion, which underscores the confidence investors have in our strategy, financial profile and long-term objectives. Now, I would like to provide some visibility of what we are expecting for 2026. First, regarding top line, excluding the effect of the appreciation of the Mexican peso, we anticipate sales to increase in the low to mid-single-digit range, driven by growth across all regions in local currency, supported by continued investments behind our brands, value-accretive innovation for consumers and a strong frontline execution. We also foresee a gradual improvement in the consumer environment, particularly in North America. Now incorporating our exchange rate assumption, where we are estimating an appreciation of the Mexican peso in 2026 as compared to 2025 of MXN 1.50. And given that approximately 2/3 of our sales are generated outside of Mexico, this appreciation represents an impact of more than 500 basis points on our expected top line growth. As a result, we expect net sales in peso terms to be flattish. Regarding our adjusted EBITDA margin, we expect a slight margin expansion, driven primarily by operational leverage and efficiencies across the supply chain, including benefits from the transformation project in North America and past accretive acquisitions. As for our raw material costs, we expect stability to a slight tailwinds throughout the year as some commodities have experienced decreases. Finally, we expect CapEx investments to range between $1.2 billion to $1.4 billion, reflecting the carryover from 2025 as we close below the plan. This is just a timing effect as we continue to follow a focused and prudent investment approach centered on returns, efficiency and strategic growth. As we look to 2026, we do so with confidence, supported by exceptional teams, a resilient business model and a globally diversified platform that continues to deliver solid results. The progress achieved in 2025 has strengthened this foundation, positioning us to continue advancing on our long-term value creation path. Thank you all for your time. We can now proceed with the Q&A session. So please go ahead.
Operator: [Operator Instructions] The first question will come from Ricardo Alves with Morgan Stanley.
Ricardo Alves: Impressive performance in Mexico, particularly on the profitability. Congrats on that. Now, it beat at least our numbers, mainly on SG&A. We noticed in the release and I quote efficiencies in distribution productivity across the value chain and lower admin expenses. Can you expand here? What's striking to us is that you'd find ways to cut costs in such a high-performing division already. So I think it's worth exploring what were those low-hanging fruits, those initiatives that you still found perhaps in Mexico, how sustainable that could be? And I think that, that would help us model the division a little bit better. So just more thoughts on the Mexico profitability. My second question is quicker. I think that this one is probably to Diego on financial expenses. Financial expenses were higher than what we expected a bit. I think that in the release, you're making reference to energy hedges and higher leverage in rates. So just wanted to hear a little bit more details as it pertains to the magnitude of each effect. It's not 100% clear to us what would be cash in nature, for instance. We did notice that there is an FX component, an FX loss component, but it's too small to explain. So if you could elaborate a little bit more on those other issues, Diego, that would be super helpful.
Alejandro Rodríguez Bas: Thank you very much for your question. So we drove EBITDA margin expansion through solid top line growth. But as you asked, we also worked in 3 fronts. So the first one was distribution efficiency. So despite that we seem to be mature, we have worked with our commercial execution and route-to-market model that expanded customer reach and improved selling efficiency. So like you said, it's a mature model, but we will continue to work on it. Productivity gains, we're working on food waste reduction as we have had. We're just doubling down on it and improved finished goods control. And finally, a disciplined cost control, enabling savings across administrative and operational expenses. For instance, we're using AI in administrative tasks to look further for optimization.
Diego Cuevas: Ricardo, thank you for joining the call. Well, let me explain a little bit more details on the financing cost for the full year, if I got your question correctly, right, not just for the quarter.
Ricardo Alves: The question was a little bit more on the quarter, but that's totally fine also.
Diego Cuevas: No problem at all. I can jump to the quarter. No problem, no issue. So basically, yes, as you mentioned, we have an important increase of a little more than 20% for the fourth quarter, which is mainly driven by the impact of energy cost hedges, which I will probably get into a little bit more details to provide the right visibility and understanding of this movement. We also have higher interest expenses from an increased debt position. And finally, and less material, a higher foreign exchange loss. Now what happened also it's a comparable basis. What we have related to the VPPA, a Virtual Purchasing Power Agreement, which, as you know, is a financial contract with a renewable energy developer that allows to support the renewable energy generation without physically receiving the power has some fluctuations on the P&L depending on the price as compared to what we have in the agreement. So what happened last year is that we had a movement on the cost of energy where the fixed price was lower than the projected energy prices, which made us to recognize a benefit in the income statement. And of course, conversely, if the fixed price is higher than the projected prices, then we will have an impact in our results. So maybe this quarter wasn't a big movement. What happened is that in the comparable quarter 2024, we did have a positive impact. So that is basically the VPPA. And then the other, as I mentioned, I think it's very clear, we have a higher leverage in absolute terms, although we were able to deleverage the company before our expectation. Remember that we had for the full year a guidance of a slight improvement to a flat leverage ratio. So seeing today, the leverage of the company at 2.7x as compared to 2.9x, it's a very good news. We were able to anticipate the deleverage, as I mentioned, by being very careful on the CapEx. We ended below the expectation, but also a better operating performance, as you noted, basically across all different segments.
Operator: The next question will come from Ben Theurer with Barclays.
Unknown Analyst: This is Reeve filling for Ben. Sort of 2 here. Firstly, as there's been more discussion around GLP-1 adoption and potential implications for food consumption. Have you seen any measurable impacts over 2025 in volume or mix, particularly in North America and more developed markets such as Europe? And how do you materially view this as a factor today versus something that's still more of a longer-term consideration? And secondly, EAA saw a meaningful step-up in profitability this quarter. Can you break down the key drivers of the margin expansion and discuss how much of this is sustainable versus one-off? Sort of how should we think about the margin progression in EAA over the next few quarters?
Alejandro Rodríguez Bas: Thank you, Ben. I will take the first one. So the impact from Ozempic GLP-1, we have a greater understanding of the phenomenon now and its consequences, and we have detected some changes in consumer behavior among users. We're actively working on enhancing our portfolio, and let me share with you 4 initiatives. One example, we're making products with a higher fiber and protein content. We believe this trend is here to stay, and we will continue to ride on it as protein bagels or within the Thomas brand, and we're also around the world developing products in our big breakfast category. So we expect to see more innovations like these ones. The second one is we're also offering smaller portions in snacks with a minimum nutrition density. And by bringing smaller portions, we accompany this kind of adopting consumers. The third one is we have been developing sugar-free recipes and increased innovation in premium products. The premium products that will overall maximize the experience of this seeking a reward, but at the same time with a lower or non-sugar content. And finally, we will continue to transition into simpler and more natural recipes. By this, we will provide options for these emerging consumers. So as I said, more grains, higher fiber, more protein-based solutions and continue to innovate in that space.
Diego Cuevas: Yes. So now for the question regarding the improvement in the margin. I mean 2025 was a record year for EAA. It's a reflection of an exceptional performance driven by both, one, solid organic growth, but also the contribution from accretive acquisitions, particularly the last one that we did in the Balkan that as we mentioned when we concluded this acquisition, it is accretive in all points of view to the profitability of the company. We feel confident that this margin is not only sustainable, but that we can continue to improve it in the future. Specifically, EAA has been a region that has outperformed. In 2025, we achieved a 12%, 5-year compounded annual growth rate in sales, and reached the record annual margin of 10.8% with more than a 300 basis expansion for the year. So we're very happy with the performance, but also we're very confident for a positive future for this region.
Operator: The next question will come from Alvaro Garcia with BTG.
Alvaro Garcia: My question is on North America. You mentioned you foresee a gradual improvement in the consumer environment there. You also made some comments on sort of where the transformation project is in the context of your margin guidance. So yes, any color on sort of the factors driving that potential gradual improvement? And any commentary on margins, specifically for North America in '26 would be very helpful.
Alejandro Rodríguez Bas: Thanks for the question. I'll talk a few points on trends, and then you also asked about our transformational efforts. So as it relates to trends, you saw in our prepared comments and it's pretty clear and syndicated data that the total category continues to be somewhat pressured we are seeing sequential improvement in the category quarter-over-quarter in 2025. And beyond that, we've seen improvement quarter-over-quarter in our share performance over that period of time. We're particularly excited about our performance in mainstream bread, in buns and rolls and in salty snacks, where we've seen positive share gains in the fourth quarter, and those have candidly continued on even at the beginning of this year. So the thing I would leave you with is that the consumer continues to be bifurcated across the market, value mainstream and premium and our response is to make sure that we are innovating into those spaces appropriately to move where our consumers are going for each of the cohorts. So that's how I might think about the trends. In terms of our transformation journey, I would say we've made significant progress in 2025. As you could imagine, we looked at every area of our business from a cost perspective, manufacturing, logistics, procurement and our G&A spend. And I just want to thank the team for the progress that they've made together over the course of time. I would expect us to continue to be very inspecting all areas of our cost base. We will continue to do that. The other area that I think is important is that our price and promotion. We looked at our pricing and promotion very carefully over the last couple of quarters. We're going to continue to look at our pricing and promotion activities very carefully to make sure that we're doing so in a way that is beneficial to our customers. And we will continue to have rational and disciplined pricing and promotion activities as we go forward as well. So I think that's important to understand as we think about our transformation journey.
Operator: The next question will come from Antonio Hernandez with Actinver.
Antonio Hernandez: Just a quick one regarding Latin America. What are your expectations there, especially in Brazil? I mean you have now this new acquisition and an interesting year because of elections. So the overall outlook in the region and more specifically in Brazil.
Diego Cuevas: Antonio, we weren't able to hear the last part of your question. So do you mind repeating, please?
Antonio Hernandez: Sure. My question is regarding your outlook in Latin America and more specifically in Brazil, given the recent acquisition, an interesting year there in Brazil because of elections as well. So overall outlook in the region.
Diego Cuevas: Yes. I mean, we feel confident for the region also that we will start to see positive trends as we believe the fundamentals for sustained growth are in place. Now I want to be very specific that in the fourth quarter and in the coming quarters, we will still have some extraordinary expenses for the integration of the Wickbold acquisition. That, of course, I mean, it was a project that took a lot of time to be approved. And it's a project that has the potential to create synergies, but we need to invest a lot and many of these investments are going to be reflected through the P&L. So that can put some pressure in the short term. But again, now with a more long-term view, I think that the region will start to go back to previous margins. And now with the acquisition and once we end the integration, we feel confident we're going to be able to surpass even the level of margins that we had in the past.
Operator: The next question will come from Froylan Mendez with JPMorgan.
Fernando Froylan Mendez Solther: Can you hear me well? Can you hear me, sorry?
Diego Cuevas: Yes. Yes. We can hear you.
Fernando Froylan Mendez Solther: Perfect. Excellent. Regarding the evolution of the project in the U.S., how far are we from stabilized margins? How far can they go? And could you share a little bit more color on the outlook on a per region basis, both top line and margins, if possible?
Alejandro Rodríguez Bas: Yes. Thanks for the question. I would say in terms of where we are in the transformation journey, we've made significant progress, as you can see in the results in 2025. To reiterate, we will continue to look at every area of the business. We expect that our -- the gains that we made in this past year, we feel good about how they will carry on into the future. And short of giving specific guidance, I would say that we will continue to look at every area of the business as we have done and will continue to do.
Diego Cuevas: Yes. And regarding the guidance or the outlook for the different regions, we do not provide that specific guidance. What I can tell you without being specific is that, of course, we feel confident that it's going to be a positive year in local currencies. So organically, we're going to be able to see some growth. And also, as I mentioned, for Grupo Bimbo, we expect a slight margin increase, which is, of course, the consequence of improvements in the different regions.
Fernando Froylan Mendez Solther: Well, maybe if I can then add a little bit on the U.S., in the U.S., where do you base your, let's say, view that there should be an improvement? Is this more on your side, regaining share? Or is it more of a consumer recovery that you're seeing or expecting?
Alejandro Rodríguez Bas: Yes. Maybe a couple of things. Again, I think we see moderate improvement in the category, but it's a category that continues to be pressured. There are certainly pockets of growth. And for us, it's really about making sure that we are being disciplined about innovating in the right spaces for our consumers. I would say, too, as we continue to be rational and disciplined as it relates to pricing and promotion, I do think that, that will continue to be positive for the entire category in 2026.
Operator: The next question will come from Matteo Bessada with TRG.
Mateo Besada: Congrats on the results. I don't know if you already touched on this, sorry if you did. But I wanted to know if you could provide a little bit more color on what drove the margin improvements in Peru, see if there were any unusual tailwinds or if it's fair to expect this type of structurally higher margins from now on like consistently on the double digits.
Diego Cuevas: We had a strong operating performance in many markets. You know the LatAm region is the composition of several countries. Peru, Ecuador, Chile, there are many markets that had a very good performance. And again, that, we still believe that we can continue to have an improvement in the margins. Of course, we do not disclose not only the guidance, but the specific margins by country. Now the -- for the quarter, the region had what we mentioned, the impact, particularly from the operations of Brazil because of 2 things. One, the pressure that we had from the cost of sales due to the hedges that we had for the FX and also the onetime expenses related to the integration of Wickbold part of the [indiscernible] Brazil business.
Mateo Besada: Sorry, guys, I don't know if I said LatAm. I wanted to hear about Europe margins.
Diego Cuevas: Europe? Sorry. I thought you were asking about Peru. So I probably made -- it wasn't very clear. So for Europe, I think that this was also previously asked. In Europe, we had a record year. We had an organic growth, but also the positive contribution of the acquisitions that we did enter into new -- 4 new markets through the acquisition of Don Don in the Balkans. This has helped also the margins of the regions. It was a very accretive acquisition. We believe that this margin is not only sustainable, but we have room to see a continuous improvement.
Operator: The next question will come from Renata Cabral with Citigroup.
Renata Fonseca Cabral Sturani: I have 2, actually are follow-ups. One is related to the transformational project in the U.S. I wonder if you could share some color of the advancement in terms of operation that you achieved so far? And for 2026, what should be the top priority within the products, for instance, the distribution of the salt or the sweet snacks, you see more opportunity in one or in the other or both if the -- all the logistics capabilities are already in place. If not, where do you see some opportunities to tackle in 2026 would be really helpful. And another one is a follow-up on margins in the U.S. because we are seeing some transformation in the markets that the company operates. From one side, we have the increase in the portfolio of the private label. On the other hand, we have the new transformational projects. So both interacting will end up maybe in 3 to 5 years in a different margin for the company. So not asking for guidance here, but more direction in terms of what do you think the margin from U.S. will go towards the next couple of years?
Unknown Executive: Thank you for the question. I'll start, and then I'll turn it over to Diego for the second part of the question. As it relates to the transformation journey, I would think about 2026 as sort of deepening our efforts on almost every area that we've already talked about. So logistics, manufacturing, our pricing and promotion disciplines, all of those we're going to continue to work along. If there's one thing I would maybe add to the discussion, and Alejandro already mentioned this in his prepared comments, is using AI as an enabler across all of those different areas. So demand forecasting, network optimization, et cetera, those are areas that we believe that AI can be utilized within our organization in order to make it even better in the future. So that might be one area of color that would be additive to the conversation. For the rest of it, I'll turn it to Diego.
Diego Cuevas: Thank you, Greg. Well, let me give you a little bit of color. I'm going to go back a few years. We used to operate in North America, and this, of course, is past history in the low double digits. So 2022 was 11%. Then in 2023, we had a 50 basis point contraction. And then as everybody knows, we had a very complicated second half in 2024, and we ended the year in 8.4%, 8.5%. Now what we're seeing in 2025, I think it's outstanding, more considering that we still haven't seen a recovery in the consumption environment as we already talked about. Unfortunately, we're still seeing a decline on volumes. But even though we're facing that complicated consumer environment in the U.S., we were able to deliver, I would say, an impressive and above our expectation margin expansion, not only in the fourth quarter, but for the full second year. I perfectly remember when we provided the guidance last year that we were very specific that still for the first half of 2025, we were expecting a margin contraction, and that exactly happened. Now what we feel very happy about is to see how sequentially the margin contraction in North America started in the first quarter with 130 basis, then negative 70 basis. Then we were able to achieve 90 basis points expansion and of course, this quarter, 330 basis. So we were able to end the year with a positive margin expansion in North America, 60 basis. Now consider that first, volumes were not necessarily on an optimistic environment. And second, that we have a lot of onetime expenses in the year. A lot of expenses that have to do with the transformation that we have talked a lot about and that Greg explained, and that is putting some pressure to the results. So now are we going to continue to have expenses, definitely, because we haven't ended this transformation. Is this going to create some pressure? Yes, not necessarily more than the one that we already have in 2025. That on the side of the expenses. What is, I would say, encouraging is to think that we will start to see and capitalize on these past investments. So I think that more than a specific comment on the guidance for 2026 or 2027, I will definitely say that we're on the right path to go back not only to the margins that we had in the past, but even to end having a company with a higher profitability than the one that we had some years ago.
Operator: The next question will come from Felipe Ucros with Scotia Bank.
Felipe Ucros Nunez: Alejandro, I think you just took one from me on where long-term margins could go in the U.S. and whether you would get back to levels. I had a second one, which had to do with the market share gains. You discussed this quite a bit in your remarks and also in the release. I know there's been a little bit of innovation, but I imagine those categories are still small. Wondering what you think was the main driver in getting those shares back up? Any color you can give us on those would be great.
Unknown Executive: Yes. Thanks for the question. And I'm assuming that the market share gains that you're talking about were -- I'll at least speak to North America. And if there's a question beyond that, I'll let Alejandro take it. As it relates to North America, I would say a couple of things. First, the innovation is -- has been successful. So -- and Alejandro talked about both of the ones that I'd like to highlight. Small loafs, which really go to shrinking overall households in terms of number of people and then our protein efforts, Thomas' Bagels being one example of that, where we are reaching to not only new consumer cohorts, but also existing consumer cohorts that are changing their purchasing behaviors and their consumption behavior. So you can expect us to continue to innovate along those lines because those have both been successful, and we expect to do more innovation like that in the future. I would also add that part of our transformation efforts has been around sales execution. And with that, that's around all of our DSD disciplines. And we've seen improvement in our DSD disciplines, thanks to the fine efforts of our frontline associates that are in the field every single day. And that goes to our ordering patterns. It goes to executing at a high level on our innovation when we do launch it and then also executing at a high-level, our promotional activities when we partner with customers in order to do something exciting within the consumption environment. So I would say execution has been part of our improvement as it relates to our share gains. So innovation and execution would be where I would underline.
Felipe Ucros Nunez: And the question was mostly for the U.S. So that covers it.
Operator: The next question is a follow-up from Ricardo Alves with Morgan Stanley.
Ricardo Alves: It's on snacks. We noticed 2 divergent sales trends more recently. In sweet snacks, Entenmann seems to be losing a little bit of share on the margin. So I just wonder if there is any update on the competitive environment in the U.S., specifically around Entenmann and your main competitors? Any pricing or discount that we should be aware or I don't know, maybe packaging or channel issues. On the flip side, as I said, diverging trends. Salty snacks, super strong. So I wonder what's up with Takis. What is the latest double-digit growth in the fourth quarter? So just wanted to see the industry is still kind of flattish. So anything that you could do. If you could zoom a little bit further into those 2 subcategories, that would be helpful to understand what's going on.
Unknown Executive: Yes. Great. Thanks for the question. Appreciate it. I'll answer the question as it relates to sweet snacking, and then I'll turn it over to Alejandro, who can probably talk more broadly about salty snacking. Yes, as it relates to sweet snacking, I would say it's always -- it always has been and continues to be a very competitive environment. It is a subcategory that has been under probably a little bit more consumer pressure than most subcategories. So there's certainly that component of it. I would say as it relates to the competitive environment, we're continuing to take a hard look at the intimates business specifically and our Sweet Baked Goods portfolio in general. We believe that there are innovation that we can bring to the -- to those brands and to the category that we think will be helpful to the consumer who is still very interested in those offerings. So there's some work to do, I would say, on Sweet Baked Goods, but we're actively working on that as we go forward.
Alejandro Rodríguez Bas: Thank you, Ricardo. And as you know, I used to be the leading person of the salty snacks globally. So I think our success in the U.S. in this fourth quarter has been the result of what Greg was talking. It's all about execution. It's focusing in what we know what to do, and we're just doing it better. Our product is awaited. It's awaited everywhere, and we're just being able to drive through more product and the response of consumers has been very good, as you have seen.